Operator: Welcome to The TJX Companies' first quarter fiscal 2011 financial results conference call. (Operator Instructions) I'd like to turn the conference call over to Ms. Carol Meyrowitz, President, and CEO for The TJX Companies, Inc. 
Carol Meyrowitz: Before we begin, Sherry has a few comments.
Sherry Lang: Good morning. Forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's SEC filings, including without limitation, the Form 10-K filed March 30, 2010. Further these comments and the Q&A that follows are copyrighted today by The TJX Companies. Any recording, retransmission, reproduction or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of the United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. Please note that the financial results and expectations we discuss today are on a continuing operations basis. Also we have detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and the Investor Information section of our website www.tjx.com. As a reminder, the comparable store sales numbers that we talk about today are on a constant currency basis. With respect to the non-GAAP measures we discuss today, reconciliations to GAAP measures are included in today's press release and posted on our website in the Investor Information section. Thank you, and now I'll turn it over to Carol.
Carol Meyrowitz: Thanks Sherry, and good morning again, and joining me on the call today are with Sherry is Jeff Naylor and Ernie Herrman. So let me start by saying that its great to see our strong momentum continue. We delivered another quarter of above planned results with earnings per share up 63% over last year. You should note that we achieved these strong results on top of comparisons that were quite a bit more challenging than most other retailers faced. Our customer traffic continued to increase significantly which we believe indicates that consumers will remain focused on value regardless of the economic environment. Our strategy to retain new customers and continue growing our customer base are clearly working. I’m going to keep my comments brief today and reiterate the reasons for our confidence in our sustainable profitable growth then update you on our strong first quarter results. I will also discuss our outlook for the second quarter and opportunities in 2010. We will continue to run the business conservatively, keeping inventories lean and reducing costs. At the same time we are extremely focused on keeping our new customers that we’ve been gaining and have many initiatives under way across the company to drive results beyond our plans. We continue to have tremendous opportunities for global growth. Before I continue let me turn the call over to Jeff to recap the numbers for the first quarter. 
Jeff Naylor: Thanks Carol, good morning everybody. Just to recap the first quarter results, our net sales reached $5 billion, that’s a 15% increase over last year. Our consolidated comparable store sales were up 9% on top of last year’s 2% increase. Diluted earnings per share were $0.80, that’s up 63% over last year’s $0.49 per share and I should mention that foreign currency exchange rate had a slightly positive effect on the year over year growth. Consolidated pre-tax profit margin was 10.7%, that’s up 290 basis points over prior year and that was driven by continued strong merchandise margins, expense leverage on the 9% comp, and solid expense controls. Foreign currency exchange rates did not meaningfully impact our pre-tax margin comparisons. The gross profit margin was 250 basis points above last year and that reflects strong merchandise margins and significant leverage on buying and occupancy expenses. SG&A expense improved 50 basis points to 16.4% as a percent of sales which is well favorable to our plans. This was achieved despite the deleveraging impact from investments in our European businesses, as well as a lower average retail both of which we discussed on our year-end conference call. SG&A expense on a dollar basis was in line with our plans despite approximately $170 million in incremental sales above our plan, as we saw very high flow through to the bottom line due in part to the expense controls I mentioned earlier. As to inventories, at the end of the first quarter consolidated inventories on a per store basis including the warehouses were down 12% and that’s despite the impact of foreign currency which actually increased inventory levels by 2%. So we were down 12 despite foreign currency pushing up the inventory levels by 2%. At Marmaxx our total inventory commitment including the warehouses, stores, and merchandise on order was slightly up versus last year on a per store basis, and as we’ve discussed on our prior calls we expect Marmaxx’s inventory commitments to be flat to up slightly throughout the first half of this year given the much stronger pace of our business compared to last year. Its important to note that we continue to run the business with very lean inventories and the slight increase in inventory commitments at Marmaxx remains far below the rate of sales and our owned inventories in the stores and DC’s are down considerably over prior year levels. So that’s the recap of the first quarter, let me turn it back to Carol and I’ll come back at the end to cover second quarter guidance. 
Carol Meyrowitz : Thanks Jeff, moving straight to the key points, first we remain very confident in our top line growth and continue to have significant opportunities to drive comp sales. Second, we have great confidence in our ability to sustain strong profit margins. And third, we are growing TJX as a global off price value company and have vast opportunities to grow this business over the long-term. I’ll start with the reasons for our confidence in the top line growth, first our strong momentum continued in the first quarter with customer traffic increasing significantly. Its important to note that on a two and three year aggregate basis our comps trend accelerated in the first quarter. Our compelling values continue to attract new customers. In our 33-year history new customers that discovered us when times were tough have continued to shop us when times improve because they love our value. Today we believe that value is more important than ever in customers’ minds across all demographics . Second we continue to grow our customer base for future. Our customer research tells us that new customers are driving our customer traffic increases and more importantly that the vast majority of these new customers intend to shop us again. Our research further shows us that we are pulling customers from a widening customer demographic reach. We believe that one of the many elements that differentiates us from other apparel retailers is our very broad consumer appeal. With our various concepts and international scope we reach all income levels, from moderate to middle to upper, as well as many age ranges. Third we believe our investments in marketing and the shopping experience for our customers are helping us attract and retain new ones. I believe our marketing campaigns are more powerful than ever and are effectively educating consumers about our great fashion and value. We are seizing opportunities to leverage our marketing spend which means that you will be seeing more of our marketing than ever before and we have skewed this heavily towards the back half of the year when we’re up against tougher comparisons. By the fall we will have 700 of our Marmaxx stores remodeled, a program that began last year. As we are seeing sales lifts in our upgraded stores we believe this too will help us in the back half. Fourth, we are beginning to see a moderation in our average ticket. That said, we always need to be right on value and maintain the price gap between us and traditional retailers. So while we have said that as the economy improves even a slight increase in consumer spending would be meaningful to our business we will remain sharply focused on being priced to offer the best values to our customers. Now let’s move to our confidence in bottom line growth, first our strategy of running with lean inventories continues to work well. Merchandise margins were up again in the first quarter over last year’s very strong performance. I should note that in the last 10 years merchandise margins at Marmaxx have been flat or up on an annual basis. Looking ahead we believe we have meaningful opportunities to run even leaner. We are improving our supply chain to run faster and better and become more pointed in flowing merchandise to stores. Second, we are on track with our cost reduction initiatives for 2010 which we continue to expect will total $50 to $75 million this year and as always we’ll certainly strive to beat that plan. Third, as we discussed in our year-end call we have significant opportunities to leverage [structure] costs as we grow the store base of both our younger and more established chains. Now I’d like to reiterate our confidence in our long-term goals for global growth, with over 2700 stores today we are confident that over the long-term we have the potential to grow to over 4200 stores. This represents our potential with just our current concepts in just our existing markets alone. It does not include rolling out tests of new concepts such as our standalone shoe stores in the US or Canada or expanding into new markets in Europe or eventually new continents. Our growth vehicles are performing well, which underscores our confidence in our plans for accelerated store growth. To recap our plans we expect to accelerate store growth from 3% in 2009 to 5% in 2010 and then 6% in 2011. We are prioritizing investments and taking advantage of the best real estate opportunities. And further we’re investing in infrastructure and pursuing top talent on a global level to support our growth. We continue to view TJX Europe as a major vehicle for our future growth. In the first quarter we believe that unfavorable weather as well as our own execution contributed to a sales miss in the UK and Ireland and segment profit overall was just slightly down. The first quarter has always been a very small quarter for our European business and despite the slight miss in Q1 we’re confident in our plans for the full year. Germany, Poland, and HomeSense all performed well in line and above our expectation and we have strong confidence in TJX Europe. My final point on growth is that beyond adding new stores we have many new ideas that we are testing in all of our businesses that could ultimately grow into new concepts or initiatives. We hope to discuss the details of our new chain on our next quarterly conference call. We continue to test ecommerce in the UK which could develop into an important growth vehicle. Developing and testing new seeds for growth is part of our DNA and we have many opportunities to expand in directions that play on our success and what we know best. Now to our financial strength, our strong operations generate substantial amounts of cash which we deploy with a careful balance between reinvesting in our businesses and preserving our financial flexibility and simultaneously distributing excess cash to shareholders. In terms of share repurchases, we bought back approximately $234 million of TJX stock during the first quarter retiring 5.5 million shares. We continue to expect to repurchase between $900 million and $1 billion of TJX stock in fiscal 2011. Our Board of Directors approved the 25% increase on our per share dividend in April which marks our fourteenth consecutive dividend increase. I want to briefly mention that our strong financials stack up very well against our peers. Fortune 500 recently ranked TJX number 119 in its survey to the largest company in 2009, up from 131 last year. Additionally among all Fortune 500 companies, we ranked number 11 in return on assets, number 25 in return on equity, and number 77 for 10-year EPS compound annual growth rate. I will also mention that we were very pleased on behalf of our associates to be named the top performing company in Massachusetts by The Boston Globe, ranking just published today. Moving to our outlook for the second quarter, we will continue to plan our business conservatively and at the same time try our best and do whatever we can to drive results beyond our planned levels, a strategy that has worked successfully over time. For the second quarter we are planning EPS to be in the range of $0.67 to $0.72, a 10% to 18% increase over last year’s $0.61 per share. For the full year we now expect EPS to be in the range of $3.21 to $3.32, a 13% to 17% increase over $2.84 per share last year. This guidance is based on our planning the business around a flat to slightly negative comp in the back half of the year. Jeff will provide more details in just a moment. So in closing I will say again, that we are pleased to see our strong momentum continue, and 2010 is off to a great start. We are very confident that our strong top and bottom line performance is sustainable. We know our comparisons get tougher as this year progresses, but believe we are well positioned to address this. We operate an extremely flexible business model which enables us to capitalize on the value mindset of our consumers. With our no wall store layouts, we are able to move inventory purchase dollars between categories and react quickly as consumer tastes change. We are growing our customer base for the future and appeal to a broad and diverse customer demographic. Additionally we are investing in marketing, skewing our spending to the second half of the year and enhancing our stores to attract and retain more customers. We have many new ideas and like the availability and quality of goods we are seeing in the marketplace. We view ourselves as a sourcing machine and lever our global buying presence to source from 60 countries. On the bottom line we believe opportunities remain to run the business with even leaner inventories and we continue to focus on reducing and levering costs to drive profitability. We have accelerated the pace of our growth and are pursuing the many opportunities that this environment is presenting. We are capitalizing on great real estate deals particularly in Europe that we believe will benefit our business long-term. Further we are building our infrastructure and organization to support this growth. We have exciting prospects for the short-term and are confident in our long-term global growth potential. Ultimately as I previously stated I believe that we will grow TJX to be double the size it is today. Now I’d like to turn it over to Jeff to go through guidance and then we’ll open it up for questions. 
Jeff Naylor: Thanks Carol, so let me provide some details on our second quarter guidance, as Carol mentioned for the second quarter we expect earnings per share to be in the range of $0.67 to $0.72 and that’s a 10% to 18% increase over the $0.61 per share last year. We’re assuming a second quarter top line of approximately $5.1 billion with a comp sales increase of 2% to 4% on a consolidated basis, and 2% to 4% at the Marmaxx group. As to monthly comps we’re planning for comp sales increases of 1% to 2% in May, 2% to 4% in June, and 2% to 4% in July. These comp increases are the same for TJX on a consolidated basis and for the Marmaxx group. Pre-tax profit margins are planned in the 8.9% to 9.4% range which represents a 20 to 70 basis point increase on top of last year’s 130 basis point increase. We’re anticipating second quarter gross profit margin in the range of 25.9% to 26.2% which represents a 30 to 60 basis point increase over last year. I should note this improvement is on top of significant increases last year and is driven by improved merchandising margins as we continue to capitalize on the opportunities Carol mentioned earlier. We anticipate SG&A as a percent of sales to be about 16.7% to 16.8% which is flat to 10 basis points above last year. The slight decrease in leverage is due to investments in our European business, a lower average retail, and the expense of opening new stores and the expense of remodels that we’re doing, most of which also impacted Q1 and all of which were anticipated in our original plans. For modeling purposes, we’re anticipating a tax rate of 38.6% which is higher than last year and negatively impacts EPS growth by two pennies. We’re also planning net interest expense in the $10 to $11 million range, corporate expenses in the $39 to $41 million range, and weighted average shares of approximately 413 million. Now let me turn to the full year, for the full year we’re now expecting earnings per share to be in the $3.21 to $3.32 per share range, an increase of 13% to 17% over the $2.84 per share in the prior year. Here are the key changes versus the model we gave you at the beginning of the year, first we now estimate consolidated comp store sales growth of 2% to 3%, which is up slightly versus our prior guidance of plus 1% to plus 2%. We now expect pre-tax profit margins to be 9.9% to 10.2%, that’s up 30 to 60 basis points over last year and is 40 basis points above our original guidance. This revised outlook assumes gross profit margins up 20 to 30 basis points over prior year and SG&A rates improving 10 to 20 basis points and again, both of these assumptions are favorable to the original guidance that we gave. While we’re not providing quarterly guidance beyond the second quarter the model assumes flat to slightly negative comps in the back half of this year as we anniversary strong numbers. As Carol mentioned earlier, we have many opportunities to do better but believe this is the prudent way to plan our business. We’ll now open it for questions. We ask that you please limit your questions to one per person and to keep the call on schedule we’re going to continue to enforce our one question limit. After you ask your one question if you’d like to, you can get back in the queue and ask another one. We appreciate your cooperation and thanks, and we’ll open it up now. 
Operator: (Operator Instructions) Your first question comes from the line of Jeff Black – Barclays Capital
Jeff Black – Barclays Capital: Congrats on a really nice looking quarter, can you talk about what you’re seeing with the lower AUR comment and in the average basket overall, is that improving, what’s happening with, is it lower because of the mix shift, because of units and on the gross margin that really looks conservative, is there something in the timing of receipts, mix, anything you’re seeing in April that leads you to be a little bit more cautious here. 
Jeff Naylor: I think on the average unit retail, we were down low to mid single-digits in the quarter and we’re seeing that moderate somewhat, but we continue to plan it down slightly and obviously with a lower average unit retail you have to move more units to do the same level of sales which puts pressure on DC and store costs. We built some of that into the guidance. In terms of the gross profit, we’ve got 30 to 60 basis points of improvement on top of last year’s 130, if you actually look at the gross profit margin over the last three years, so in the first quarter if you look over the last three years, we’ve had 240 basis points improvement in the gross profit margin. If you look at what we’re guiding to in the second quarter, it would be about 210 to 240 basis points over that same three period. So its not out of line with the historical trend, that said as Carol mentioned we always try to set our guidance at reasonable levels and obviously have plans in place to beat it. And I think the low inventory levels that we have coming into the quarter certainly set us up in terms of turning faster and having lower markdowns. But that’s the way we set the guidance. 
Carol Meyrowitz : One more comment to that, in terms of the average retail we are seeing it moving in a positive direction but I want to be very careful here because our job is to always give the best value we can. So we don’t know what that’s going to look like going towards the back half. It could be up and could be down. So we’re more focused on value than anything. 
Operator: Your next question comes from the line of Todd Slater – Lazard Capital Markets
Todd Slater – Lazard Capital Markets: Congrats, your full year guidance assumes flat to down comps for the second half as you’ve mentioned and I’m curious as to your assumptions on the AUR, on traffic and also how should we look at Forex effects on sales and earnings for the rest of the year. 
Carol Meyrowitz : In terms of traffic what we have done is we’ve pushed our marketing plans pretty aggressively in the back half. We also have probably, we have 110 out of the 400 stores that we’re remodeling done so its very back half driven, along with many merchandise initiatives that we have in place. So we are being pretty aggressive in the back half and because of the comps, we had such strong comps last year we’re being very prudent in terms of planning it. But I have a lot of confidence in the back half and I think we’re doing all the right things. 
Jeff Naylor: In terms of Forex, I’ll deal first with sales, sales were up 15% in the first quarter, Forex was worth about three points of that. In the second quarter Forex is worth about one point of our revenue growth will come from Forex in the second quarter at current rates. And in the last six months its really a non issue [inaudible] of our sales growth. In terms of EPS in the first quarter Forex benefited EPS by a penny compared to a two-cent hit last year. For the second quarter we’re anticipating a one-cent benefit this year against the one cent hit last year and in the second half we’re anticipating it to be relatively neutral from an EPS standpoint versus a one-cent benefit last year. So you can see really from an EPS standpoint its pretty neutral on the year, pretty much a non issue and has a slight impact on sales although that moderates as we go through the year. Now that again, that assumes that the exchange rates stay where they are today which is typically how we would forecast our business. 
Todd Slater – Lazard Capital Markets: And just as a follow-up what’s the marketing investment change in the second half year over year that Carol mentioned. 
Carol Meyrowitz : We don’t give you the exact number but we’re slightly up, in dollars we’re up. But more importantly in terms of penetration we’re being very aggressive. You are going to see our [grips] way up in the back half. 
Operator: Your next question comes from the line of Brian Tunick – JPMorgan 
Brian Tunick – JPMorgan : Congrats as well, I guess investors seem to be concerned about the ongoing question about the availability of inventory, the mix between the off price and the make-ups, you talk about inventory turns and supply chain, I’m just wondering if you could maybe give us some more confidence or color of why you think gross margins can continue to head higher and then the second question is on T.K. Maxx, can you maybe just give us an idea of how much margin pressure in Q1 came from your new store investments in the other countries versus the sales and the execution mix. 
Carol Meyrowitz : First of all our new store investment in the UK is half the stores and we’re up to over 50 stores. Half of the stores will be in the first half and you’ve got to remember that even in the first quarter about 80% to 88% of our sales are done in the back half in the UK. So they are effected more dramatically by the new stores and the remodels in the first quarter, in the first half. In terms of the availability of goods, we’re very pleased with what we’re seeing. We have shut down the team many times through the quarter so there’s certainly not a lack of availability and I believe that in terms of our inventory levels we have many divisions that are leaner than other divisions so that we think we have some still improvements to be made there. But more importantly we have invested and continue to invest in our supply chain and that is allowing us to buy closer to need and it will allow us to continuously do a better job of transitioning the seasons and shipping the right goods to the right stores. So its not just about bringing the inventory down, its really about the mix and how the mix hits the stores by region and by zone. So we still think we have quite a bit of potential. 
Jeff Naylor: Just to add to your comments on Europe Carol mentioned the same quarter from a sales standpoint, from a profit standpoint we make about 5% of our profits in Europe in the first quarter whereas total TJX is about 20% to 25%. So it’s a thin quarter. In terms of the impact of the new businesses, in terms of the UK and Ireland our profit dollars and our segment margins were essentially flat year over year. We had a miss on sales, our gross margins were essentially flat because of the flexibility in our business model, we’re able to adjust. If you then look at Poland, Germany, and HomeSense, slightly higher levels of loss/investment versus last year, that was all anticipated though, and is in line with our plan. Germany remains very, very much on track to earn a profit this year and Poland and HomeSense we think will be near break even. So we remain confident in those businesses and they’re really on track with what we’re seeing so far. 
Carol Meyrowitz : Also in terms of weather in the first quarter the home businesses and the non-apparel businesses were absolutely [inaudible] and the same thing in Europe, so we clearly believe that we do have a bit of a weather issue and that did hurt the pace there. 
Operator: Your next question comes from the line of Paul Lejuez – Credit Suisse
Paul Lejuez – Credit Suisse: Can you just give us the detail on the gross margin for the first quarter merch margin improvement versus the leverage on buying and occupancy and then also just wondering if you could talk about traffic versus ticket by brand. Are there any of the concepts that you’ve seen ticket turn positive. 
Carol Meyrowitz : In terms of the traffic we’re really up in all divisions. The traffic has been accelerating, its actually accelerated since the back half.
Jeff Naylor: About 75% to 80% of the gross margin, 250 basis point improvement in the first quarter, 75%, 80% of that was merchandise margin. The balance was buying and occupancy. 
Paul Lejuez – Credit Suisse: But on the ticket are there any of the concepts where ticket is running positive right now over the past quarter or so. 
Carol Meyrowitz : Not really, we’re really slightly down across the board. But it is come back since the back half but its definitely moving in a more positive direction since the back half. 
Operator: Your next question comes from the line of Kimberly Greenberger – Citi
Kimberly Greenberger – Citi: I was just trying to understand the differential between the decline in inventory per store relative to your comments that Marmaxx is flat, I think you mentioned that there were some divisions where you’re down significantly are there any other factors in there that are influencing that, is it that Marmaxx is committing inventory further ahead of time relative to when they were doing it last year or what are the dynamics that are influencing that spread between what the reported inventory per store balance is versus what your comments are about Marmaxx’s commitments.
Carol Meyrowitz : Well Marmaxx remember Marmaxx is still against very high sales in the back half so the commitments are really pretty lean when you look at it against last year. So I think we couldn’t be in better shape and the turns are faster than they’ve ever been before so I’m very, very comfortable with our commitments. We came into May, we made a very conscious decision to keep May very, very lean and we did that as we saw last May was a very hot May. Last June was a very cold June. We’re starting to see the opposite and what’s beautiful about our business is you can obviously shut it off pretty quickly so we made a very conscious decision and we decided to strategize to keep May very lean and then go much stronger and ship fresh goods in June, shorts and bathing suits and much more summer product a little bit later this year. And those are the things that we’re learning. We got hurt a little bit in the UK because we came in too summer and then we kind of came back with a little bit of the wrong transition and now we’re getting ourselves back in line and we’re in great shape. So that’s the beauty of the flexibility. So we’re very, very comfortable. I’m very happy we’re as lean as we are in May and I think we’ve made the absolute proper commitments going forward. So, I think our flow is going to be terrific. 
Operator: Your next question comes from the line of Evren Kopelman – Wells Fargo 
Evren Kopelman – Wells Fargo : Can you give us an update on the remodels at Marmaxx, maybe how much of the comp improvement if any in the first quarter is driven by remodels and are you seeing a similar lift in comps and how we should think about that in the second half. 
Carol Meyrowitz : We really don’t, we don’t talk about the percentages. We’re very pleased, we’re also very pleased with the customers’ reaction so we will continue with this program. We also have tested the remodels across all our divisions done in slightly different ways and we’re seeing the same type of lift. But I apologize, we really don’t give you that number. 
Jeff Naylor: We don’t want to break that too fine but suffice it to say that we get strong returns and pay backs on the investments we’re making and importantly most of the remodels are going to be done by the end of the second quarter so that does help us as we get into the back half in terms of lapping up against the numbers that we are lapping up against. 
Carol Meyrowitz : Its part of our whole back half strategy. 
Evren Kopelman – Wells Fargo : If I could follow-up on the home category as well, clearly there’s been a lot of strength, can you give us a little bit color of in home, what’s working, is it soft goods, is it hard goods, and kind of the drivers of that and how long do you think we can expect to see double-digit cost in that category. 
Carol Meyrowitz : Honestly our home business is very strong across the board. Its really both soft home, gift giving, hard home, it is, we really don’t have too many categories that are soft. I think that home in general out there is stronger. I think there’s a weather factor here. But I think more importantly for TJX, I am absolutely thrilled with the mix and I think our values are better than ever. And I think they’re going to continue that. We are sourcing in some amazing new countries and there is such a stream amount of newness that I believe our trends will continue. 
Operator: Your next question comes from the line of Michelle Clark – Morgan Stanley
Michelle Clark – Morgan Stanley: In your prepared remarks, the benefit of new customers, just wondering if you can give us some additional color in terms of new customers as a percent of total this year versus last, where the customers are coming from and then what the benefit to the comps. 
Carol Meyrowitz : Again our customer, our increase in customer trend in new customers is continuing. So we really saw a huge lift last year, we’re continuing to see that lift going forward and as we said before we’re doing everything possible to keep all of these new customers and continue it into the back half. So we again we don't divide up our transactions and our number of customers but I can tell you that its absolutely accelerating. 
Jeff Naylor: Our comp, as Carol mentioned the customer count has actually accelerated into the first quarter so when we look at transaction growth its accelerating and a big chunk of that is coming from new customers and they’re coming from all over the place. As Carol mentioned in her prepared remarks we’re really broadening the demographic reach and we’re also seeing some of those customers very high both intent to repurchase as well as when we look at credit card data, we actually see those new customers are in fact coming back in, in large large numbers to, for a second visit and sometimes more visits. So we’re very encouraged by what we’ve seen in terms of the level of trial we’re getting from new customers and the level of repeat business we’re getting from those customers as well. 
Operator: Your next question comes from the line of Adrianne Shapira – Goldman Sachs 
Adrianne Shapira – Goldman Sachs : On the Memorial Day shift, could you quantify that, we appreciate sort of the monthly comp but give us a sense of what the shift out of May is having an impact into June and then just specifically on categories, obviously we’re hearing the home strength but give us a little bit more color on what else you’re seeing, sort of apparel, accessories, where you’re chasing harder, where the strengths are, where you’re seeing some encouraging trends from the consumer. 
Jeff Naylor: On the shift, its not as significant for us as it is for other retailers because we don’t have large promotional events. So, it ends up being relatively minor. I think we would classify it as less than a point. The other thing that benefits June is that we’ve got a little bit of a shift in the Fourth of July where with the holiday moving out of June into July that will probably help the June comps because there aren’t a lot of people that, traffic tends to be down on the day that people have off as they do—so it’s a little bit of a benefit to June but its no where near as material as you’d expect it to be from other retailers who promote heavily around the holiday. 
Carol Meyrowitz : Our main plan is not based on the Memorial Day, its really based on where we see the business. In terms of categories, we continue to, our accessories business, our shoe business continues to be very strong. Our junior business with the cube is absolutely exceptional and our men’s business is coming around which last year our men’s business we weren’t as happy with. So we’re starting to see some terrific progress there, which bodes well for Father’s Day. So we’re pretty excited about that. That’s basically this year versus last year, what’s happening, along with a couple of new categories which I won’t mention. 
Operator: Your next question comes from the line of Jeff Stein – Soleil-Stein Research
Jeff Stein – Soleil-Stein Research: Wondering, the provision for incentive comp and how that effected SG&A in the first quarter compared to last year, was there a material basis point shift year on year. 
Jeff Naylor: No not really because it wasn’t until really into the later part of the second and the third and the fourth when we started booking heavier incentive comp impacts. It really didn’t have any basis point impact at all on G&A this year versus last year. Because that impact would have come later in the year. 
Jeff Stein – Soleil-Stein Research: And as far as your leverage point buying and occupancy expenses, where is it currently and where should it be headed as we move deeper into the year and we begin to see an acceleration in new store openings. I would presume that you’ll require somewhat higher leverage point later on. 
Jeff Naylor: We kind of look at it for, we tend to look at the leverage point for total expenses rather than splitting it. The buying and occupancy SG&A split is something we do for the external reporting. Internally we look at our business merchandise margins and expenses, our expenses the leverage point typically its sort of in the low 3’s, 3, 3.25 in that range. What we’ve done over the past is that we have enough cost reduction though that we’ve been able to reduce the leverage point down to 2.5% or slightly below and we’ve done that again this year as you can see from the full year guidance, we’re getting leverage at 2 and 3 comps more than you’d ordinarily, a little bit more than you’d expect given 3, 3.5% inflation rate. In terms of B&O as we go through the year we do have an impact in the back half from, we combine these because we’ve got new store openings that in the back half of the year we think have about a 10 to a 20 basis point hit that we’re taking and that’s primarily from the costs that we incur prior to opening the stores. But that’s got about a 10 to 20 basis point impact in the back half of the year. 
Operator: Your next question comes from the line of Laura Champine – Cowen and Company
Laura Champine – Cowen and Company: If I go through your gross margin guidance for the year, it clearly indicates a slow down, does that, I understand the occupancy deleverage, but will you also see merch margins decline as you lap those really tough comparisons with your progress in the back half of last year. 
Carol Meyrowitz : We’re definitely planning the back half more conservatively. 
Jeff Naylor: On the merchandise margin in the back half its essentially flat is where we plan the merchandise margin to LY and that’s what’s implied in the guidance. 
Operator: Your next question comes from the line of Richard Jaffe – Stifel Nicolaus
Richard Jaffe – Stifel Nicolaus: Could you talk about the European business, the non-domestic businesses and how their four wall contribution is different US to Canada, Canada to the UK and then UK to Germany and if you would comment also on Poland as well. 
Jeff Naylor: We’re not public on the numbers per say but the four wall profitability in our core UK business is pretty comparable to Marmaxx. HomeGoods and A.J. Wright are slightly below where Marmaxx is but still at levels that give us very strong returns on invested capital and as we mentioned before A.J. Wright’s four wall contribution is increased significantly over the last four years and is actually above the level we need to have a model and have the confidence to roll that business out. When we look at Germany its early days right because we’ve got four or five stores in Germany that are two years old and we’ve got four stores in Germany that are one year old. And we’ve got another 15 stores that are just beginning their second year. What’s interesting is we’re seeing contribution margins not that far below T.K. Maxx, T.K. Maxx is UK stores. And we’ve commented on that, that’s one of the things that really makes us excited about Germany, that we’ve seen sales in an average store in Germany comparable to the UK. The stores are a little bit smaller so they tend to be a little bit more productive. We’re seeing turns in gross margins very comparable to the UK. And so the four wall economics in Germany have really surprised us on the upside which is why we’ve gone and we’re going as aggressively as we’re going. What that matures to its hard to say because we’re dealing with four wall contributions now that are points below the UK but there’s still a lot of maturity ahead of us in those stores that could in fact bring that store contribution margin up to the UK levels and maybe even beyond. Poland is just too early to say, our stores in Poland have been open for six months now. We like what we’re seeing but I think its too early to comment on four wall contribution margins until they lap their first year. 
Carol Meyrowitz : And I also might add that HomeGoods four wall contribution has increased significantly so first quarter things are, its been tremendous. So we believe that there may be some additional growth in terms of store count in HomeGoods in the future. 
Operator: Your next question comes from the line of David Mann – Johnson Rice 
David Mann – Johnson Rice : Another question on the merchandise margin, in terms of the initial market that you’re seeing how do you see that trending going forward, in terms of the pricing of the goods that are available. 
Carol Meyrowitz : There’s a lot of talk about cotton prices increasing, wool prices increasing, any increase obviously to us is beneficial and that if your average ticket goes up, its beneficial to us in terms of costs through our DC’s, comps, all of that. And I keep coming back to our job is to gap between where everybody else is and where we are. So whether the cost for apparel is finally not deflationary but inflationary it will certainly benefit TJX. If you’re asking about the quality of the goods in the marketplace I think we’re feeling very good about it. 
Ernie Herrman: I think we said it before, I think the availability we’re obviously excess inventory driven, the availability is across all categories. The challenge still is to hold back the buyers mainly in this company so it goes in waves sometimes but the wave recently has been just like it has every other quarter which is we’re having to hold ourselves back based on the amount of goods out there. So that is always a good sign in terms of mark-up which I think you’re asking about, initial mark-up, I think that bodes well for the future. 
Carol Meyrowitz : We are hearing production increasing a bit, so it will be interesting to see what happens in the back half. 
Operator: Your next question comes from the line of David Weiner – Deutsche Bank
David Weiner – Deutsche Bank: I just had a follow-up on the foreign business, not so much on the contribution but let’s say the pre-tax margin plan, I think in past calls you’ve given kind of a long-term 9% to 10% range, are you still comfortable with that number or do you see upside to it. 
Jeff Naylor: We’re comfortable with that general range. With the UK we’ve, we originally thought that was an 8% to 9% business, that’s a business that was almost at 9 last year with still store growth ahead of it and as we grow UK we can leverage the cost in the UK against the growth in Germany, Poland, and other countries that we may enter. So, and with the strong contribution margins we’re seeing out of Germany yes I think we continue to feel comfortable with that range.
Carol Meyrowitz : And with our investment we’re still for the year feeling that the European businesses will certainly again have a positive on pre-tax. 
Operator: Your next question comes from the line of Daniel Hofkin – William Blair
Daniel Hofkin – William Blair: Just quick question on the near-term comp outlook May to June and then following up on the back half specifically May to June with the weather being unfavorable year to year in May so far I think a lot of companies have talked about that, and then June flipping, do you think that that June forecast could maybe be meaningfully conservative being just a point or so higher especially if you layer in the July 4th shift too, and then looking at the back half obviously recognizing that the rate of growth last year was phenomenal, was there anything that you felt that was like one-time in nature that would cause you to have, recognizing this is your internal plan for budgeting but that would cause you to have like flat to slightly negative comp expectations internally, or for budgeting or because, other than just very very strong results and market share gains last year, anything else that causes you to be incrementally more conservative. 
Carol Meyrowitz : First of all for June I guess I’ll just answer it by saying I hope so. And then as far as the back half goes there is nothing going on on a one-time basis at all. I think its very, very prudent to plan the back half conservatively and our whole goal initially for the year, we are going off of a very aggressive year not to plan the back half conservatively I don’t think would be a smart thing to do. So as always we strive to beat our plans. I think we have a lot of initiatives going. I obviously personally would not be happy if we didn’t beat those plans. But I really think it’s the right thing to do and it’s the right way to plan the business. 
Daniel Hofkin – William Blair: Okay so it comes down to just the outsize level of growth last year as opposed to anything kind of on a current year basis. 
Carol Meyrowitz : Absolutely, from day one I really wanted to get the back half planned flat to down and I think we’re in a great place. 
Operator: Your next question comes from the line of Howard Tubin – RBC Capital Markets
Howard Tubin – RBC Capital Markets: Can you tell us, I think you said in the past that over the last couple of years the percentage of your upfront buys verse off price buys has been shifting towards off price buys, is that true and is that still the case here in the spring season. 
Carol Meyrowitz : We’re pretty flat in terms of percentages and we’re in a pretty good place. 
Operator: Your next question comes from the line of Dana Telsey – Telsey Advisory Group
Dana Telsey – Telsey Advisory Group: Congratulations. Can you talk a little bit more any more color on the operating margins by division as you had such good progress this quarter, do you see going forward in the forecast is it gross margin, is it SG&A, and is it different by division where you get the leverage points and just lastly the marketing spend, what are you seeing there and magnitude of change as we look to the second half of the year.
Jeff Naylor: I think as we look on a full year basis, so we aren’t providing a lot of specific guidance but I think in terms of color this year versus last year on a full year basis we continue to, we believe that the segment margins will be up at Marmaxx. We believe they’ll be up at Canada, Canada if you recall we had a currency hit last year so we would expect that to be up. We’re expecting Europe to be flat to slightly up full year and that’s with the investments we’re making in the three new businesses. HomeGoods is clearly up and A.J. clearly up and as I mentioned for the total company for the full year the pre-tax margin up 30 to 60 basis points and that’s really coming from a mix between the gross profit margin and some SG&A leverage for the full year. That’s kind of a quick snapshot of how the full year guidance looks. 
Carol Meyrowitz : And marketing spend is slightly up but the impressions are very aggressively up for the back half. So you’ll be seeing a lot of us. 
Operator: Your next question comes from the line of Marni Shapiro – The Retail Tracker
Marni Shapiro – The Retail Tracker: Congratulations, great quarter. I know there’s obviously plenty of inventory here in the United States but with the stronger dollar is there an opportunity to buy overseas and does it make sense at all to buy overseas more aggressively and ship some of those goods back here and are there pockets across the fleet and across the categories that make more sense to do this, so maybe its not apparel but maybe its home or handbags or something like that, if you could talk a little bit about that. 
Carol Meyrowitz : First of all we have a huge office in Italy, we have people on the ground in India. We have people in China. We have people in the UK. We have over 100 people in Germany and everybody does buy together so we leverage the corporation so we are absolutely, which is part of what we talk about when we say we’re really a supply chain company. We take advantage of all of it. If we have to pay in euros, and pounds, or dollars, we do it, whatever is advantageous. So we absolutely are taking full advantage of that. 
Operator: Your next question comes from the line of Stacy Pak – SP Research
Stacy Pak – SP Research: Question on Europe just wondering if you would comment what you’re seeing there currently with sort of all the mess over there, have you seen a change in momentum in your business there. I guess just circling back to what you said about TK for Q1, can you repeat how you know it was weather in addition to your own execution and I’m just obviously kind of zeroing in on the economy there. Can you explain, did you say its top line and bottom line neutral FX in the back half and then lastly just on May, if you’re not expecting any real shift from Memorial Day then is the decline you’re forecasting in May on the two year is that really all the weather you’re seeing now or are you also being conservative there. 
Carol Meyrowitz : First of all last May was our highest comp in the quarter that we’re up against so between that and the shift I think that’s the way we should be planning it and we are. In terms of the UK you can always ask the question is it weather or is it execution, the UK obviously the economy was pretty bad a year ago. They got hit as dramatically as the US did so I really, as I hate to use that as an excuse, there’s very clearly categories that are working that read to weather. We know what the mix was. We know how we transitioned and it was completely the opposite weather pattern of a year ago. And we also know the things that we do in terms of execution and what we can fix. Having said that they did have a drop in sales in the UK to plan but their margins were pretty much the same so they did a pretty good job of that and that’s by keeping lean inventories. So my answer to that is that I think that some of it is our own doing and some of it is the weather. 
Operator: Your final question comes from the line of Patrick McKeever – MKM Partners 
Patrick McKeever – MKM Partners : You mentioned that 75 to I think you said 80% of the gross margin improvement in the quarter was merchandise margins, wondering how that just that differential has changed over the past few quarters. If you look back to the back half of last year for example how much of the gross margin expansion that you saw was due to merchandise margin improvement. 
Jeff Naylor: Yes, I actually don’t have those numbers here in front of me, I apologize. Last year given the strength of the comp in the back half I would have expected that we would have had more buying and occupancy leverage than we’re showing. Right now we had a 10 comp in the back half which would have, particularly the 12 comp in the fourth quarter we would in all likelihood would have seen more buying and occupancy leverage then we’re seeing right now. But I apologize, I just don’t, you stumped me with the one question I don’t have the numbers in my book. So we’ll have to respond to that offline. 
Patrick McKeever – MKM Partners : And then you talked last year a fair bit about opening up new vendors at a nice clip and I’m just wondering if that same thing is true today. I know you’re always opening up new vendors but do you feel like that momentum that you saw with opening up new vendors last year has continued into 2010.
Carol Meyrowitz : Yes it has and as a matter of fact we are hitting a lot of new countries so we are seeing that and again I just think its making the mix very, very eclectic and interesting. So that continues to happen. We’re very pleased. I want to thank everyone and we look forward to giving you the Q2 results and thank you again.